Operator: Greetings and welcome to the Primoris Reports 2019 Fourth Quarter and Full Year Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded.It is now my pleasure to introduce your host, Kate Tholking, Vice President of Investor Relations. Thank you. You may begin.
Kate Tholking: Thank you, Doug. Good morning everyone. Thank you for joining us today. Our speakers for the day will be Tom McCormick, President and Chief Executive Officer; and Ken Dodgen, our Executive Vice President and Chief Financial Officer.In addition to this morning's press release, we have also posted slides on our website that highlight key points we plan to discuss on this call. You can access them by going to our corporate website, www.prim.com, then selecting Investors. Once on the Investors site, you'll find the slides in the Events & Presentations section, next to the webcast link for today's call.Before we begin, I’d like to remind everyone that statements made during today's call may contain certain forward-looking statements including with regard to the company's future performance. Words such as estimates, believes, expects, projects, may, and future or similar expressions are intended to identify forward-looking statements. Forward-looking statements inherently involve risks and uncertainties including without limitation, those discussed in this morning's press release and those detailed in the Risk Factors section and other portions in our Annual Report on Form 10-K for the period ending December 31, 2019, which was filed this morning and other filings with the Securities and Exchange Commission.Primoris does not undertake any obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events, or otherwise, except as maybe required under applicable securities laws.I'd now like to turn the call over to our CEO, Tom McCormick.
Tom McCormick: Thank you, Kate. Good morning and thank you for joining us today to discuss our fourth quarter and full-year results.Primoris' full-year revenue surpassed $3 billion for the first time in the company's history, an achievement that is a result of hard work by all our men and women in the field as well as our project supervisors, back office support staff and our leadership team. The team I'm extremely proud to lead.In the fourth quarter, we were negatively impacted by severe weather and a few project delays. But we also benefited from strong execution in our solar pipeline field services in Canadian markets. As expected, our fourth quarter cash flows from operations were extremely strong. So we're able to complete our entire $50 million share repurchase program, benefiting Primoris and our shareholders and end the year with a solid balance sheet.Our backlog at year-end remains strong with 44% from long-term MSAs and our current bidding activity makes us confident about 2020. We're continuously reviewing our bidding procedures, looking for ways to refine the process, and ensure we are targeting the right projects with the right customers. Our funnel of prospects is very promising for bright start to 2020.Our focus on SG&A continues and we continue to be disciplined about where and how we spend our money, focusing on initiatives that can improve efficiency at the business unit, segment, and corporate levels, while also making sure our people in the field have the tools and equipment they need to be successful.Our earnings for the fourth quarter of $0.53 per share, allowed us to achieve our fiscal year earnings guidance despite the headwinds of pipeline delays, and the disappointing performance of our transmission segment, as we realigned and renegotiated for the future. I'm very pleased that we achieved our targeted guidance range, and I believe it's worth noting that we did so without the benefit of some large projects that we had originally anticipated starting in 2019.I'll give a little more color on our individual segments starting with the gas Utilities & Distribution segment. While, revenue in our California markets was slightly down, we had a good mix of work, leading to better margins compared to the 2018 fourth quarter. Our markets throughout the Midwest were more challenged as late November saw severe rain and snow in every Midwest market in which we operate. This kind of severe weather had a dramatic impact on productivity and labor costs and ultimately had a negative impact on our fourth quarter revenue and earnings in that region. However weather does not impact the long-term attractiveness of the gas utility market, as we continue to see growing national recognition of the need to replace our aging gas pipeline and distribution infrastructure.Just last year, the State of Texas passed a bill requiring a 60% increase in the replacement of the riskiest pipelines across the state and the removal of all-known cast iron pipelines by 2022. This type of integrity or replacement work is often completed under MSAs which is the kind of recurring long-term programs that Primoris excels at and we're well-positioned to capitalize on these opportunities.Our other utility segment is the transmission and distribution segments focusing on the electric T&D market. We were disappointed with the results for this segment in 2019. While two of the four divisions of this segment performed well, the other two divisions fell short of expectations.We do have some rate issues in two of the divisions that I referred to above and we're working with the clients to get them adjusted. The spending by some of our major utility customers in the first three quarters of the year slowed down in the fourth quarter as various utilities slashed their spending in Q4 for a number of internal reasons. We were able to replace some of the revenue shortfall and are using this as an opportunity to reduce our direct costs with the right-sizing of crews, more efficient use and management of equipment, more effective use of subcontractors, and better control the ancillary costs. The customers that implemented the fourth quarter reductions have since communicated to us that the reductions were temporary, and that work would return in the first quarter of 2020.We continue to have conversations with these customers just to discuss how their budget fluctuations impact our costs and to partner with them in creating a sustainable model. It's also worth noting that it took us longer to renegotiate a long-term MSA contract with one of our major clients in the T&D segment, which prolonged the timeframe in which we were able to realize the benefits from the new contract terms. We should see the benefits from all these initiatives in 2020 and remain confident that the long-term opportunities in electrical utility market are strong.Power, Industrial & Engineering segment saw mixed results in the fourth quarter. Our MSA work within industrial facilities is performing very well, however as expected we experienced revenue declines in California as the market for new natural gas fired power facilities continues to be challenged. The much of the decline in the natural gas power market is being offset by growth in the renewable power market.Our solar projects in West Texas completed Phase 1 in the fourth quarter and Phase 2 is ahead of schedule with a projected completion date by the end of the second quarter this year. Over the last couple of years, we've been able to establish ourselves as a premier contractor for the utility scale solar projects. This market will be attracted for us over the next several years, driven by State's renewable portfolio standards and increasingly competitive pricing for solar generated electricity.We continue to pursue additional renewable projects outside of solar such as battery storage, bio diesel, and bio gas facilities, one of which we announced in 2019. The renewable natural gas market is another growth opportunity for us as developers are looking to partner with companies that can offer a complete solution. And Primoris' broad range of services allows us to offer customers a customized solution to meet their needs.Our Gulf Coast industrial team had a challenging fourth quarter as two industrial projects faced additional challenges. One of these projects was completed in Q4, the second project was -- which was adversely impacted by multiple design changes and client delays is approaching completion and we're actively working on clients associated with the project as the owner led changes resulted in adverse impact, productivity impacts, and increased costs. While I don't like to have projects that perform poorly, I think it's important to acknowledge them and to learn from them.Over the last several months, we have upgraded our team in the Gulf Coast by adding additional seasoned professionals and field supervision to our staff to ensure we have the proper skill sets and expertise to execute and manage the work we're pursuing.Leaving the Gulf Coast and jumping up to Canada, our work in the Western Canadian market continues to exceed our expectations and the majority of our work there has been done under MSAs. We're pleased with the work they're doing and expect 2020 to be another solid year.I'm extremely proud of the turnaround we've seen in our Civil segment. Excluding any Belton claims impacts, the segment had a great quarter demonstrating its ability to perform profitably and safely. We are seeing the benefit of more disciplined execution in contract management as well as more selected bidding for our heavy civil work.Our I&M team is working closely with our renewables and industrial teams, and they're full of opportunities, including site work and road construction for solar facilities, LNG plants and industrial chemical facilities look strong for 2020 and slightly backend loaded.And finally, our Pipeline & Underground segment. The market for pipeline field services continue to grow with our revenue increasing over 50% in 2019 and bidding for 2020 looks very strong. We're expanding our field services working with our customers to extend the life of existing pipelines and pipeline facilities. In our pipeline market revenue was down compared to 2018 but it was not unexpected, as permitting and legal challenges adversely impacted the industry in 2019.The delay in large projects caused many contractors to chase smaller jobs in order to keep their key employees and craftsman busy which had a trickledown effect on the entire market. But we chose not to dramatically lower our margins preferring to pass on projects rather than take on profitable work.Our 2020 outlook is significantly improved compared to 2019, as we have several projects, both union and non-union that have either already started or are scheduled to start in the first quarter this year, and several bids on which we have been informed that we have been shortlisted or verbally awarded.With regards to our largest pipeline project, the Supreme Court heard oral arguments just yesterday, and we expect a decision in late June, or early July. At the earliest, we would expect to go back to work on this project late in the third quarter. To be clear, our optimism about the 2020 pipeline market is not predicated on this one project, and we have not included it in our 2020 guidance.As I look across all our segments, I'm extremely proud not just of their financial results but also of their safety results. We worked 24.5 million work hours in 2019, which is a 25% increase over 2018 and didn't lose sight of our focus on safety. Our 2019 TRIR is well below the industry average. But with safety, we're always looking for ways to improve. So I've challenged our team to exceed our 2020 safety goals.During the year we received numerous safety awards including four business units receiving the Liberty Mutual Safety Excellence Award, recognition by the Canadian Occupational Safety Magazine as one of the safest contractors in the oil and gas category and the 2019 E&R California Safety Award of Merit.In addition to strong expected organic growth in our Utility pipeline and renewable markets in 2020, we are looking at potential acquisitions, both smaller bolt-ons as well as more sizable acquisitions. We have a strong team in place evaluating prospects and I expect we will close at least one this year.With a healthy backlog mix of both MSA and project base work, strong expectations for the Utility pipeline and renewable markets, and a Civil segment that has returned to our expected operating margin range, I am confident that 2020 is going to be another successful year for the Primoris family of companies.Before I hand it over to Ken for the financial details, I'd like to also let you know that we have revised our executive compensation program. While bonus calculations have always considered crucial items such as backlog, operating profit, cash flow, and safety, we have now formally aligned these metrics with the bonus calculations for senior management. We believe this benefits our management team as they now have very clearly defined goals, it also provides a path for next-generation leaders to accumulate shares of Primoris stock making sure that their interests are aligned with that of our shareholders.And with that, I'll now turn it over to Ken.
Ken Dodgen: Thank you, Tom, and good morning, everyone.I'll focus on our fourth quarter results as well as our balance sheet, cash flows, and backlog, and then I will wrap-up with our 2020 guidance before moving on to your questions.Our fourth quarter 2019 revenue was $789.8 million compared to $877.7 million in the fourth quarter of 2018. The decrease was primarily due to the expected decline in revenue in the Pipeline segment, as a result of projects deferred until early 2020. This was slightly offset by our revenue growth in the Power and Civil segments.Our largest customers in the quarter were three large utility customers who accounted for a combined 21.4% of our revenue and a renewable energy company that accounted for 5.6% of our revenue. And our top 10 customers now account for less than 50% of our revenue. They accounted for only 44.8% of revenue in the fourth quarter, and 47.2% of revenue for the full-year.Gross profit in the fourth quarter 2019 was $89.5 million compared to $103.3 million in the fourth quarter 2018. The decline in gross profit was largely due to lower profit margins in the Power and Transmission segments and the lower revenue in the Pipeline segment. If your recall in Q4 2018, the Power segment had the benefit of a large settlement on a disputed receivable as well as the benefit of a successful close-out on large power project. In 2019, the segment didn't had any settlements or close-outs, and instead had two challenging industrial projects on the Gulf Coast that Tom previously mentioned. This combination drove this significant profit reduction from 2018 to 2019.And Tom has already mentioned the issues we are dealing with in the Transmission segment, I'll echo his comment that we are continuing to make organizational and operational improvements to return this segment to expected profit levels.The overall decline in gross profit was partially offset by an increase in gross profit in the Civil segment, thanks to better performance on our Civil projects and progress towards settling claims on the two remaining Belton area projects. We continue to work through the claims process with TxDOT and we updated our recovery estimates on the two remaining claims in Q4. As of year-end all five projects are substantially complete.Our SG&A expense in the fourth quarter 2019 was $48.6 million down slightly from $50 million in the fourth quarter of 2018. Despite the decline as a percentage of revenue, SG&A increased slightly to 6.2% due to the low revenue in 2019. For the full-year, SG&A was 6.1% of revenue and we believe we will remain in the low 6% range going into 2020.Interest expense in the fourth quarter 2019 was $2.6 million compared to $7.1 million in 2018. In 2019, we benefited from a $1.3 million unrealized gain on the change in fair value of our interest rate swap, while in 2018 this was a $2.8 million loss. Excluding the impact of these non-cash and realized changes in the value of our swap, I expect our 2020 interest expense to be roughly $4 million a quarter.The effective tax rate on income attributable from Primoris is 29.3% for the fourth quarter and 29.1% for the year, we expect the rate to continue to approximately 29% for all of 2020, but it may vary slightly depending on the mix of states we work in and the amount of prelims we pay which are not tax deductible.Fourth quarter net income attributable to Primoris is $26.9 million or $0.53 per fully diluted share compared to $32.4 million or 63% per fully diluted share in 2018. For the full-year, we earned a record $1.61 per share, which surpassed the record $1.50 per share we set in 2018.Looking at our cash flows, as expected, we had a very strong fourth quarter with $158.1 million in cash flows from operations. This includes roughly $100 million in cash we received from the sale of the customers receivables and the settlements at the three Belton area claims we discussed in the third quarter. In the fourth quarter, we invested approximately $16.2 million in property and equipment. And for the full-year, we invested $94.5 million of which $57.5 million was for construction equipment.We are almost done upgrading many of our offices and facilities and we expect our 2020 capital spending to be in the $50 million to $60 million range with almost all of that spent on construction equipment.We're also selling equipment that we no longer need and right-sizing our equipment fleet as needed. In 2019, our proceeds from the sale of property and equipment were $28.6 million, almost $17 million higher than the $11.7 million we sold in 2018. We plan to continue evaluating our equipment fleet in 2020 and we could expect similar levels of equipment sales.Our balance sheet at year-end was strong. We were able to complete our $50 million share repurchase in December and still end the year with $120.3 million of cash. And with borrowing capacity under our revolver of $164.2 million, we have total available liquidity of almost $285 million at year-end.Total debt was down to $351.3 million, net debt was $231 million, and our debt-to-equity ratio was 55.9% at year-end.Our weighted average interest rate at year-end was just under 4%. We believe this combination of low debt and available liquidity will enable us to take advantage of all opportunities for organic growth and strategic acquisitions in 2020.Fixed backlog at year-end was $1.07 excuse me $1.76 billion and our 12-month MSA backlog was $1.42 billion for a total backlog of $3.18 billion essentially flat compared to where we ended Q3 of 2019. We expect that during 2020 we will recognize this revenue approximately 76% of our total year-end backlog.And finally, our guidance for 2020, we expect that earnings per fully diluted share will be in a range of $1.70 to $1.90 per share. This range does not include any potential upside from the Atlantic Coast Pipeline project that we remain committed to supporting our customer when the project is ready to move forward.With that, we can turn to your questions. Doug?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions].Our first question comes from the line of Lee Jagoda with CJS Securities. Please proceed with your question.
Lee Jagoda: They got it close, good morning.
Tom McCormick: Good morning, Lee.
Lee Jagoda: So just taking into account on the pipeline side, the $260 million of work you won in late January, how much additional capacity do you have to take on additional work prior to the potential start of ACP in Q4?
Tom McCormick: We had -- it's really -- it depends on the size of the project and the timing of the project. I mean, as you know, the pipeline prices are quick burns. So from the time of award to mobilization is fairly quick, we're already in the field on those projects. If we can fit them in our schedule, we have a capacity to do probably as many as five spreads at any given time depending on the type of work. So it just depends on the mix and the respective size and schedules.
Lee Jagoda: And then I know you kind of explicitly took ACP out of the guidance range as it relates to Q4, but what are you assuming in terms of backfilling work in Q4 to get to that guidance range?
Tom McCormick: I want to make sure I understand your question, Lee. What exactly are you asking?
Lee Jagoda: Sorry, if you take ACP out of Q4 and your guidance is $1.70 to $1.90 presumably you'll be doing some more as it relates to Rockford in that quarter.
Tom McCormick: Yes.
Lee Jagoda: So what's assumed in terms of backfilling for Q4?
Tom McCormick: Less than $30 million of revenue.
Lee Jagoda: Okay.
Tom McCormick: We had not expected, even if ACP gets approved this year, we had not expected to be able to do a lot of work this year. I mean we falling of trees made clearance more right away, the West Virginia you're not going to do any work in the winter; you're going to be in the winter by the end, especially if it's a late third quarter notice to proceed. We could do some work in the Carolinas or perhaps it's more than that. And I believe we had less than $30 million in our original plan for ACP.And let me touch on this too, let me just step back to your last question for a second. I was talking primarily of Rockford even with their -- with respect to their capacity. We have a non-union company that also has a CAT capacity to take on multiple spreads and they're actually doing extremely well.
Lee Jagoda: Got it. And then just one more related to transmission. I know you mentioned a couple of issues that cause the margin shortfall this quarter. Can you talk a little bit about the MSA renewal and on an apple-to-apples basis assuming things don't get better, which I think they will, but assuming they don't get better, how much the new -- the renewal of this MSA is additive to margins, hopefully beginning in Q1?
Tom McCormick: Let me think about how I can answer that question without the details of that MSA, I would expect it on a percentage basis; I'm not sure how to answer that question. Be honest with you. That 200, roughly represents about $208 million worth of work that we should be able to get through the course of this year, our margins will be let me just say in the 8% to 10% well actually gross margins will be in the 14% to 16% range on that work. So does that answer your question without really giving you a lot of details on that MSA.
Lee Jagoda: That's super helpful. I guess is there any way to put that in compare it to what that work would have done this year?
Tom McCormick: If we were just doing work for that same client this year at those same levels, those margins would be low single-digits.
Operator: Our next question comes from the line of Sean Eastman from KeyBanc Capital Markets. Please proceed with your question.
Sean Eastman: First one for me is just on the industrial projects in the Gulf Coast. I think last quarter; you guys had said you expected the drag there to be contained in the third quarter. It sounds like one of the projects is now done in the fourth quarter. But when is the next one completing? And I'm just curious, does this continue to be a drag in early 2020 or does the outlook reflect a return to normalized margin performance there coming out of the gate?
Tom McCormick: So let me just answer your question, I'll address the one that the project is finishing fourth quarter. Unfortunately for projects that go bad, they're -- kind of we look at them as the gift that keeps on giving. And it took a little bit longer to get that project finished. The second project is gone into 2020 primarily because of that, you heard me talk about design changes and client led changes. They've continue to see -- we've seen multiple changes on this project that have pushed the work scope out and the schedule out.We'll finish that here in the next couple of weeks. So that project would be finished the next couple of weeks. We were talking to the client now about selling our clients and all the discussions are going positively. So that we look to have that behind us here within the next two to three weeks. New projects actually to kick-off the year that that particular group is doing pretty well. They've been successful in winning some work and their performance so far this year is good.We bought -- like I said in my statement earlier that we bought in some new key people, primarily field level type people to help make sure we get the right skill sets in place. Not that we didn't have some good people but we would like somebody to concentrate on managing their contracts a little bit better. And let some people concentrate on some work in the field. And we're seeing the benefit of that now. So I think you're going to see a return to traditional performance here in the coming weeks, we're seeing it now actually.
Sean Eastman: Okay, great. That's helpful. And then on the Civil claims side, would you guys be able to quantify how much that helped relative to internal expectations in the fourth quarter? And then are the claims resolutions there all done at this point or is there more to come in 2020? And is there some of that built into the 2020 outlook?
Ken Dodgen: Yes, Sean. We don't really comment on individual customers in non-claims realization especially at this point in the process. But with respect to resolution it is in the CCC process and Tom jump in here, wherever you want to. But that is a legal process that we have no control over unless TxDOT chooses to pull it out and settle with us.
Tom McCormick: Yes, our expectation was -- our hopes would be that we could settle these two claims this year. If they don't go well, I guess that could go on for probably the course of another year. But our expectation is that we set a precedent in the resolution of the first three claims. And we're talking to TxDOT now and we'll enter into some more detailed discussions here in the coming months about Trump pulling those possible -- the possibility of pulling those out of the CCC process and selling them based on the precedent that was set in our three earlier claim settlements.
Sean Eastman: Got it. And then as we think about this visibility around this initial 2020 outlook, what would be some of the major things that have yet to happen to hit sort of the mid-point like for example, I think the big solar projects flowing through right now complete mid-year, do we need to see another big solar win in the first half to hit the outlook or any kind of color on maybe the chunkier project side developments there?
Tom McCormick: Well, I'll kind of touch on three, our pipeline both our union and non-union pipeline groups are continuing to be successful on bids. Although we haven't announced them that we haven't signed the contracts yet, we've been informed that we're either shortlisted the low bid or verbally awarded the work. And just now got to work through contract terms on several projects in excess of a couple hundred million dollars, as well as our Field Services Group that's also part of that Pipeline segment is having some successes that we haven't yet finalized the contracts in 2020. But we expect those to be announced here in the coming weeks -- finalized and announced in the coming weeks.And then we have received a limited notice to proceed on a large solar project that we're also now moving forward on that once we've signed that contract, we'll formalize it and announce, and it's a fairly sizable project as well. So we're seeing, we've had a very good start to 2024 for -- when it comes to a new business taken.
Sean Eastman: And I guess just to wrap that up, if we see those pipe projects in final negotiations mobilize and if we see this large solar project mobilize, is that indicative of upside to the outlook or are those things already built in?
Tom McCormick: Well, it's really too early. We're talking to you in February right now to even say but we would be in probably in better position in any year that I've -- since I've been with this company than we have in the past. So it'd be a great start to the year to have that much work in backlog moving forward because basically what that would do, it would reserve space for the ACP project were to move forward in the fourth -- third or fourth quarter, but it would basically give out -- put both our pipeline groups add capacity, which we haven't seen in past years.
Operator: Our next question comes from the line of Brent Thielmann with D.A. Davidson. Please proceed with your question.
Brent Thielmann: A question or follow-up question on the transmission business. How quickly do you expect those margins to kind of come back to the levels you were talking about? Or is it you think it kind of comes in phases this year?
Tom McCormick: Well, again, their business is cyclical, like some of our other businesses they rely heavily on MSA work. So the first quarter is going to kind of be slow as clients start ramping up, coming up and getting approval on their budgets and rolling out their budgets and going out that work. I think it's going to be again, second, third and fourth quarter is when we expect to see it.
Brent Thielmann: Okay. Okay. And then on the U&D segment, I think this is the first year in a while we haven't seen it grow and I understand there's been some sort of extraordinary reasons for that this year. How do you think about that business reversing that trend in 2020? What kind of growth do you think it can see? I mean in a scenario whether it's in complex and all those other factors are kind of out?
Tom McCormick: Well, I don't think you're going to see a lot of growth in California, I think if we can continue to just maintain what the work that we have out there. I think that's great. Where we'll see growth is the opportunities for Q3C and PDS which are two of the other business units in that segment to go into different regions. And win MSA -- continue to win MSA work and to renew some of their MSA work, I think that's where the opportunities are and that's the expectation for both of those business units this year as well.
Brent Thielmann: Okay. And the feedback from the California customers is more just a return to normal for the year after?
Tom McCormick: Well, when you're doing replacement work at some point in time you work your way through some of that and we have with some of the clients and we're doing some new work out there for those clients. It's just -- it's being able to balance that workload, then being able to get the workout through their engineers and get the work released also has some impact on it. But it's just -- we've been working out in that California market for a long-time and at some point in time that work would -- is going to flatten out a little bit.
Brent Thielmann: Okay. And then the Power, industrial business, I mean you had really strong bookings here in 2019. It sounds like maybe some of the larger maybe Gulf Coast opportunities that are out there shifted right a little bit. Maybe you could talk a little bit about what you're seeing that's in your wheelhouse in that region, and I guess can you imagine sort of level of bookings in 2020?
Tom McCormick: Well, let me go out to California first for union part of that, that segment. They were able to actually last year, although they had a little bit; they fell a little bit short of the revenue. They actually did extremely well last year on winning work. And it was -- they didn't have one large projects that they won. It was all in the backlog of MSA work and small capital projects. I think you'll see the same with them this year, although they have a couple opportunities right now project that they're shortlisted on. They win, it's fairly sizable, it's north of $100 million. We expect to hear back about it here in the coming weeks.If I go to the Gulf Coast there's still opportunities to grow that business. We're seeing a lot of opportunities, prospects of lot opportunities to bid work. We're just trying to be careful about making sure that we have the right teams in place. And then we have the right execution strategy to make sure that those projects are successful. And I don't think it's -- there's not a limit right now that we're seeing in the Texas, Louisiana area for work, it's making sure that we're pursuing the right projects with the right customers and I think there are going to be some more LNG projects going forward. There's some chemical projects and petrochemical projects also that we've been talking to clients for a long-time on projects that we expected to be awarded in 2019 that have pushed and I think we've a --- we're in pretty good favor -- pretty good position on those projects, and we're ready to go-forward in 2020.
Operator: Our next question comes from the line of Adam Thalhimer with Thompson Davis. Please proceed with your question.
Adam Thalhimer: What is sold out in union and non-union pipe? What does revenue look like for that P&U segment in that scenario?
Tom McCormick: I will let Ken answer that, he has got.
Ken Dodgen: You are talking about for 2020?
Adam Thalhimer: No, not even 2020 just like if you had full utilization for a year, how much revenue could you do?
Ken Dodgen: Well, let's see, we finished the year with a little over $500 million in that segment, full-bore going probably $800 million to $900 million.
Adam Thalhimer: Okay.
Ken Dodgen: And that's with all the spreads working like Tom was talking about and kind of sequence stuff nicely. So that we have jobs finishing up and crews rolling on to other jobs as well.
Tom McCormick: That didn't include the Field Service Group, which could be another $250 million.
Ken Dodgen: Correct.
Adam Thalhimer: You literally doubled that segment versus 2019?
Tom McCormick: Yes, I will be careful about saying that but all everything would have to hit just right.
Ken Dodgen: Exactly.
Tom McCormick: But I think there's certainly there's opportunity for growth there.
Adam Thalhimer: And how much of --
Ken Dodgen: And to Tom's point about the Field Services business, right. That's not a segment type business like it is on the mainline pipeline construction, it is all about work crews who are onsite at various facilities and small to medium-sized projects that average anywhere from $3 million to $4 million on the small side up to $12 million to $15 million on the large side.
Adam Thalhimer: But with jobs you've already announced plus these verbal awards. You think you're on the run rate towards peak at the end of the year?
Ken Dodgen: Maybe not peak but definitely toward the higher end of the range.
Adam Thalhimer: Yes, okay. And then if ACP?
Tom McCormick: That's just gravy.
Adam Thalhimer: That's actually good. Okay, I get it. And then -- that California T&D contract you won, has that ramped up yet? It was an MSA with the big California utility on the Power side.
Tom McCormick: Well, it’s working. It's not -- it's not ramped up again first quarter slow, things might just start getting approved. But I know at the end of last year, we probably had 35, 40 crews. They wanted us to ramp-up to probably twice that. But we reserve the right to limit that until they can show us the backlog of work. And probably in that same mode this year, so I think it's going to be a little bit slow in the first quarter it'll ramp-up in the second, third, and fourth quarter. So we're looking forward to seeing that grow.
Adam Thalhimer: Okay. And then on the Underground, on the pipe side, the distribution work in California has that -- you said they told you is going to ramp in Q1. But have you seen that yet?
Tom McCormick: No. We don't expect to really just see a lot of that until Q2. As far as, no we got a pipeline project out there. There's a smaller project that will be handled by that Underground group that will kick-off but I think it's very typical for a lot of that word not to start picking up into Q2.
Adam Thalhimer: Okay. So you say, California overall, the gas utility and electric utility good demand outlook, but it really takes up Q2 and then in the back half?
Tom McCormick: Yes, it really starts ramping up towards the end of Q2, and Q3 and Q4.
Adam Thalhimer: Okay, that's helpful. And then last one for me the solar contracts, I guess haven't fully fleshed out that opportunity. But you sound very upbeat, like, what are you seeing on the bidding side? And what's the typical size of these jobs to Primoris?
Tom McCormick: They are anywhere from $50 million to north of $280 million. We have -- we think we fit a real good niche in that $100 million to $250 million, $280 million range. There's inordinate amount of opportunities there, you just have to partner up with or match up with the right client, or the right partner. So a lot of these are developers chasing PPAs and we make sure that our pricing is in line with what their expectations are. We have several that we've done work for that have other opportunities. They've been very pleased with our performance. So I think you could go out and get -- there's enough out there for us -- any contractor that has this experience to go out and get themselves in trouble if they were wanting to take on too much work.Yes, would be careful to make sure that you have the right staffing levels to put on those projects because they're quite different than our industrial construction projects. And they're much more of a production facility type of project than they are an industrial project. So the different type of mindset it takes to do that type of work.
Adam Thalhimer: How quickly do they burn?
Tom McCormick: Once you get through engineering, I mean you'll typically finish one at about a year-and-a-half a larger scale project, the Roadrunner project will have been in the field for probably about a year-and-a-half, and phase 2 finishes in this summer.
Operator: [Operator Instructions].Our next question comes from the line of Julio Romero with Sidoti & Company. Please proceed with your question.
Tom McCormick: Hi Julio.
Julio Romero: Hey, good morning, everyone. So just piggybacking on that last question about solar and maybe renewable in general, seems like one thing that may set you apart is your ability to maybe offer more of a comprehensive solution than some peers in the space. Can you just talk about that? And if that's a differentiator as those renewable jobs get more competitive over time?
Tom McCormick: We think it is because we can get up involved up front with a client and look at us -- go look at a site, put a price on that site, help them develop their scope, help them determine what that cost per megawatt, maybe to make sure it fits in their model and then move forward with detailed design.We have companies in our I&M Group and our heavy Civil groups and projects have done the site clearing and grading and they saw stabilization, built the roads up to the top of Mesa for a project. We can do, we can build the substations form, we can run the transmission lines and do the interconnects for them and then we can build the solar, design and build the solar plant. So I mean, really and truly, we're effectively, not that all clients use all our services, but we're one-stop-shop with respect to that.
Julio Romero: Got it. That's helpful. And just housekeeping question I think you mentioned, we should assume, similar to 2019 $20 million or so of proceeds from equipment sales for 2020?
Ken Dodgen: Well, yes, I don't know that we can assume 28 because we don't know what that right-sizing is going to be. But it would not surprise me to see us have higher levels of proceeds from equipment sales in 2020 than we have historically. Historically we've kind of been in that $9 million to $12 million range. And so whether or not it'll be 28 or not, I don't know, but it should be higher than that $9 million to $12 million that we've historically experienced prior to 2019.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
Tom McCormick: Well, first of all thank you, everybody for joining us. It was a -- 2019 was a successful year, we had some -- some opportunities and things that we need to work on and improve on. I think we're well -- we got those well underway and looking forward to a successful 2020 for all our Primoris family of companies. Thanks for joining us.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.